Operator: Good afternoon, and welcome to the Cibus, Inc. 2025Q1 Earnings Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please also note today's event is being recorded. At this time, I'd like to turn the conference over to Carlo Broos, Interim Chief Financial Officer. Sir, please go ahead.
Carlo Broos: Thank you, and good afternoon. I would like to thank you for taking time to join us for Cibus, Inc.'s first quarter 2025 Financial Results and business update conference call and webcast. Presenting with me today is Peter Beetham, cofounder, interim chief executive officer, president, and COO. Greg Gocal, our chief scientific officer, will also be on today's call for participation during the Q&A session. Before we begin the call, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results, future operational goals, and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to Cibus, Inc.'s SEC filings for a list of associated risks. This conference call is being webcast. The webcast link, along with our press release and corporate presentation, are available on the Investor Relations section of cibus.com to assist you in your analysis of our business. And with that, I would now like to turn the call over to you, Peter.
Peter Beetham: Thanks, Carlo, and good afternoon, everyone. We believe the first quarter of 2025 continues to demonstrate clear validation of our commercial strategy and the transformative potential of our RTDS technology platform. Our first quarter press releases have confirmed our ability to deliver time-bound and predictable results. This, alongside what has been favorable regulatory decisions, is resonating across multiple fronts, expanding and attracting commercial interest from some of our current customers while also attracting many new prospective partners. Cibus, Inc. is uniquely positioned at an important inflection point in the agricultural industry. Our proprietary RTDS gene editing process has established a new paradigm for trait development, one that is time-bound and predictable, enabling us to edit a customer's elite germplasm and return it with specific traits in under twelve months. This standardized platform is being recognized as a fundamental breakthrough that intersects with agriculture's important plant breeding programs. These programs are the engine room of genetic innovation for the seed industry. We believe this is unlike anything agriculture has seen before, creating a dependable model for trait development and commercialization gene editing that's resonating strongly with our customers, partners, and more broadly across the whole industry. What's particularly encouraging is how our time-bound and predictable message is attracting significant new interest in development projects, especially in disease resistance traits. We continue to show great progress with confirmed edits for different modes of action in the disease trait category that is unique and highly valuable for multiple crops in global markets. This validation from the market affirms our strategic direction and the value proposition of our technology as we focus on achieving our key milestones for 2025. Let me start with rice.
Peter Beetham: Throughout 2024, we established a strong foundation in our rice platform, securing agreements with four major IC companies representing approximately 40% of our estimated accessible rice acres across North and Latin America. The momentum continues to build as we advance toward commercialization. This momentum is carried forward from last year's field trials where we achieved a milestone with field trial results that set gene-edited herbicide tolerance traits in rice. This year in March, we expanded this opportunity for additional stacked HT traits in rice where trials are planned for the 2025 season. Last year's trials represent the first known trial using stacked gene-edited herbicide tolerance traits in rice for improved weed management. A huge breakthrough that further differentiates our offering and stands to bring significant value to farmers. This is of particular importance given the global need for weed management solutions that enable rice farmers to manage these challenges more efficiently. We are working hard to advance partnerships to do just that. A great example of our efforts is our strategic collaboration with RTGB Corporation Limited and Allbar LLC to provide the herbicide clethodim as part of our weed management solution for US rice farmers using the HT3 trait as a means to further our commercialization strategy. With our registrations lining up, we remain on track for our anticipated 2027 commercial launch. The momentum we're seeing in Latin America is particularly exciting as these markets have historically lacked access to advanced weed management solutions in rice. This represents a transformative opportunity both for farmers in these regions and for Cibus, Inc. as an innovator that is helping deliver value-added solutions to the market. We also expect to initiate our first trait trials in Latin America later this year with delivery of initial traits to a Latin American customer anticipated by year-end. The broader message here is clear. Our rice commercialization strategy is progressing according to plan, with traits integrated into multiple customers' germplasm that is adapted to diverse geographies. This represents a significant market opportunity for Cibus, Inc. as we approach commercialization. So now turning to disease resistance work. Disease, in our case, sclerotinia or white mold, this program continues to be a standout area of our progress. Building on our breakthrough achievements in 2024 where we successfully completed edits in canola for four different modes of action for sclerotinia resistance and observed positive field trial results for our second mode of action.
Peter Beetham: We've continued to advance this critical platform. In March 2025, we announced positive greenhouse data for canola plants containing a third mode of action for sclerotinia resistance. This represents a significant milestone in our multilayered approach to create durable disease resistance very similar to how antiviral cocktails create lasting protection against diseases in humans like HIV. Our sclerotinia resistance trait in canola now offers multiple modes of action to provide durable resistance by reducing their reliance on fungicides and enable farmers to improve yields and lower input costs. This is particularly critical as sclerotinia or white mold is a fungal pathogen that causes significant disease in oilseed crops and most legumes, reducing canola yields by 7% to 15% with individual plant level yield losses being as great as 50% per infection. We're now preparing to conduct field trials for our third and fourth modes of action in canola in North America this summer, along with testing our first stacked disease resistance trait in controlled environment growth chambers. So let me now turn to the soybean platform. Our soybean platform reached a significant milestone in January when we successfully edited a soybean cell for our HT2 trait, achieving editing rates that enable expanded platform development. This achievement represents a critical step forward in our soybean strategy and positions us to continue pursuing both the HT2 trait and white mold resistance in soybean, potentially accessing a substantial market estimated at 125 million accessible acres with annual trait royalties per acre potentially in the range of $10 to $15. While we continue to work diligently toward a fully operational soybean platform, the success achieved early in the year validates our approach and technical capabilities. We expect to achieve HT2 edits in soybean plants later this year, building upon our successful cell edits from earlier this year. The company continues to work diligently toward a fully operational soybean platform. Soybean gene editing of complex traits like white mold resistance remains an area of significant commercial interest, and we continue to advance discussions with current and prospective partners who recognize the value of our time-bound and predictable approach to trait development. Which now brings me to our sustainable ingredients program. Within our sustainable ingredients program, we've advanced our bio-based fermentation bio fragrance products and now anticipate entering into commercialization agreements with consumer packaged goods partners this year. This quarter, we successfully completed the first stage scale-up of two bio fragrance products. This important advance affirms our expectation in realizing nominal revenues from this program later in 2025. In addition, our partner-funded project with a large multinational CPG company also continues to progress well. This work leverages our core crop gene editing capabilities to develop sustainable low-carbon ingredients, helping major global companies advance their sustainability objectives. So let's turn to regulatory. On the regulatory front, we achieved several historic milestones this quarter that strengthen our commercialization pathway. In February, the California Rice Commission's Rice Certification Committee approved our field research proposal, marking the first authorization for planting gene-edited rice in California. Additionally, in March, EU member states endorsed the EU Council's negotiating mandate on the regulation of class obtained by new genomic techniques or NGTs, enabling a three-way or trialogue discussions with the EU parliament, EU commission, and EU council to finalize legislation. In April 2025, the Ministry of Agriculture and Livestock in Ecuador determined that Cibus, Inc.'s T1 and HT3 rice traits are equivalent to those developed through conventional breeding. This was a really important determination for our RTDS technologies as Ecuador strictly prohibits the commercial planting of transgenic or GMO crops. This determination confirms rice plants containing Cibus, Inc.'s T1 and HT3 traits may proceed with registration and commercialization in Ecuador in accordance with the provisions of organic law of agro biodiversity seeds, and promotion of sustainable agriculture, and its regulations, known as LOA FAS. And just two weeks ago, we were excited to announce that the USDA APHIS has designated two of our disease resistance trait products under development for canola as not regulated. This favorable designation confirms that our traits do not meet the definition of a regulated article, enabling us to proceed with product development without restrictions associated with regulated articles in the US. This USDA designation is especially significant as it further validates our RTDS technology platform that enables targeted genetic changes without integrating recombinant DNA. The US has long been a leader in regulatory modernization, and this designation represents yet another example of how regulatory frameworks have evolved and continue to evolve to support the promise of gene editing technologies. These regulatory developments across multiple geographies significantly strengthen the commercial opportunity for our trait pipeline and serve as important catalysts for our crop trait development business. So now let's look ahead to 2025. We have several important milestones we're focused on while simultaneously optimizing our operations. Expansion of commercial relationships with rice companies across North and South America, the first trait validation trials in Latin America with delivery of initial traits to customers by year-end, field trials for sclerotinia resistance in canola, the third and fourth modes of action, and trials of our first stacked disease resistance trait in controlled environment growth chambers. Initial field trial data for our HT2 trait in canola, continued development toward an operational soybean platform, and advancement of our biofragrance work with expected nominal revenues later this year. As we pursue these strategic priorities, we're laser-focused on optimizing our operations, significantly reducing our cash burn rate in 2025. We're taking a disciplined approach to resource allocation, prioritizing investments in near-term commercial opportunities with developed and advanced traits while ensuring we have the financial flexibility to execute on our strategic priorities and extend our runway. This balanced approach to growth and fiscal discipline positions us to maximize shareholder value as we approach key commercial milestones. Our gene editing technologies and focus on productivity traits hold great promise for the future of farming, enabling crops to be more adaptable to a changing environment and the changing demands of the global food supply chain. As demonstrated by our progress this quarter and over the past year, the opportunities for our gene-edited traits aren't in the distant future; they're materializing and expanding now. With our traits moving into customer germplasm, showing promising results in field trials, and a more harmonized global regulatory environment emerging for gene-edited traits, we are uniquely positioned within the agricultural gene editing industry to capture significant value for our shareholders. And with that, I'll hand over the call to Carlo for a financial update. Carlo?
Carlo Broos: Thank you, Peter. Looking at our financials for the third quarter, cash and cash equivalents were $23.6 million as of March 31, 2025. Taking into account the $21.4 million net proceeds received in 2025 from the registered direct offering in January, the impact of implemented cost-saving initiatives, and without giving effect to potential financing transactions that Cibus, Inc. is pursuing, Cibus, Inc. expects that existing cash and cash equivalents are sufficient to fund planned operating expenses and capital expenditure requirements into the third quarter of 2025. Moving to our income statement, revenue for the first quarter of 2025 was $1 million, an increase of $489,000 compared to the $545,000 in the year-ago period, due to increased activity in partner-funded projects. R&D expense was $11.8 million for the first quarter of 2025, compared to $12 million in the year-ago period. The decrease is primarily due to cost reduction initiatives. SG&A expense was $9.9 million for the first quarter of 2025, compared to $7 million in the year-ago period. The increase is primarily due to a $3 million litigation accrual partially offset by a decrease related to cost reduction initiatives. Net loss was $49.4 million for the first quarter of 2025, compared to a net loss of $27 million in the year-ago period. The increase in net loss was primarily due to the $21 million non-cash neutral impairment that was recorded in the first quarter of 2025, compared to no such charge in the prior year period. Net loss excluding this goodwill impairment was $28.4 million. For additional details about our financials for the first quarter of 2025, please refer to our press release and filings with the SEC. That concludes our financial discussion. Peter, now back to you for your closing remarks.
Peter Beetham: Thank you, Carlo. The first quarter of 2025 has demonstrated clear validation of our commercial strategy and the transformative potential of our RTDS technology platform. As I've mentioned, our time-bound and predictable approach to trait development is resonating strongly with customers and partners, attracting significant commercial interest across our rice, canola, and soybean platforms where we believe we will garner further development program support. This is with regulatory progress globally, including the favorable USDA APHIS designation of our canola disease resistance traits just two weeks ago. Our rice traits moving into customer germplasm and our disease resistance program showing remarkable results with multiple modes of action, we're positioned at an important inflection point where seed genetics is now offering broad innovation in global seed markets. As we remain laser-focused on optimizing operations and reducing cash burn in 2025 through 2026, we continue to advance our highest value commercial opportunities that will drive long-term shareholder value. And with that, I thank you for your attention and interest. We look forward to updating you on our continued progress next quarter. This concludes our remarks, operator. Could you open the call for questions? Thank you.
Operator: Certainly. At this time, if you would like to ask a question, please press star and 1 on your touchtone keypad. You may withdraw yourself from the queue at any time by pressing star 2. And once again, that is star and 1. We'll move first to Laurence Alexander with Jefferies. Your line is open.
Laurence Alexander: Good afternoon. I guess three or four things, if I may. First, can you just walk through the cash burn and the step-up in the SG&A in Q1? You know, kind of what your views on both of those and how to think about them for the balance of the year?
Peter Beetham: Thanks. Thanks, Laurence. I'm gonna hand that to Carlo to answer. Thank you.
Carlo Broos: Yeah. Thank you, Peter. So good question. The cash burn in quarter one, as we have said in the previous presentations, following an executed rate last year, we went seriously down. So we are now around $4.4 million gross. So that was successfully planned and executed. What you see in quarter one, in the SG&A, is an accrual for litigation we took, and that's why the number is higher compared to the quarter in previous periods. But when you really, from a cash perspective, look at it, we went down.
Laurence Alexander: Okay. Perfect. And then on the EU regulatory discussions, have your contacts in Europe given you any sense for what a reasonable time frame would be for the three-way discussions to coalesce on a final text?
Peter Beetham: So thanks, Laurence. Let me expand on that a little bit because I think, as I mentioned, this was the result of the EU Council vote in March is really a historic thing for the gene editing industry in general, and we're, you know, so excited about that because finally, gene editing is being recognized as what they call conventional-like. So it's essentially, you know, indistinguishable from what occurs in nature or from plant breeding programs. And, you know, as you go through this process, the parliament last year actually, you know, tabled the text, confirmed that the text change, and then when they went through the amendments, it goes to the EU Council vote, which was positive in March. From that time now, they've entered into what they call the trialogue, which is three-way discussions with parliament and the commission and the council in the EU. And, you know, just as recent as yesterday, we heard that they have scheduled many meetings between now and June to complete that trialogue. And what that means is they're heading to final text. Now that could be delayed, but it will happen, we believe, within six months. And the beauty of that is within the twelve months after that, you'll have the secondary legislation to move forward with gene-edited products, both for cultivation and trade in with the EU, which, again, as we talked in some of our earlier remarks around regulatory, is harmonizing around the world. So as you'll see from our press release, there's a number of items devoted to regulatory because we're seeing a great harmonizing and therefore a clear path for us to go on commercialization. Does that answer your question?
Laurence Alexander: Great. And then, sorry. Go ahead.
Peter Beetham: No. I just want to make sure that I answered your question effectively.
Laurence Alexander: Yep. No. No. Great. And then just can you just walk through two last pieces? One is for when your trait products hit commercial launch, what is the working capital or cash flow impacts ahead of booking kind of incoming cash flow from your customers? And secondly, for biofragrance, can you give some sense of the potential scale, how fast it could ramp, what I mean, what the customers are telling you and if they do get what they want, and they're enthusiastic about your result, your product, what the impact would be on your working capital needs and need to have the right sort of technical support and quality assurance staff to support them?
Peter Beetham: So let me start with the first part of your question. So thank you, Laurence. I think, you know, as we go forward on our traits, particularly in rice, we're really excited about rice. It is one of our strategic priorities that we've been very much focused on over the last couple of years, and we've had great demand and success around the two herbicide-tolerant traits in rice, including, you know, a really favorable result from the Ecuador regulatory just recently. So, you know, the handoff point with materials once they're edited in rice, we don't effectively have a big hit on our cash at all. We support our customers from a stewardship standpoint, making sure that the traits are handled correctly, that there's some genotyping and some, you know, eventually, we will allow them to come back to us in their breeding program to do some genotyping, but it's not a big hit at all. So that's the first part of your question. And then the second part was with regard to biofragrance. Biofragrance, what we're hearing from, you know, prospective partners on this is there's a great demand, and the ramp can be very quick because it's a fermentation product. So as we've mentioned, we've got nominal revenues here in 2025, building in 2026. You know, what's interesting about this area is it really is companies looking for bio-based products. So they're very excited about the opportunity for us to provide fragrances that they have, you know, had to source through either, you know, a very expensive natural process or synthetic. And it's mainly been synthetics. And so we see the ramp could go really quickly in this area over the 2026 to 2028 years. Greg, if you got anything to add?
Greg Gocal: Yeah. Just to add, our approach with the biofragrances is unique to us. And we've demonstrated with the first two molecules the success and the interest in this platform, and we're accepting that that's gonna generate future interest from a variety of customers. And if I may weigh in just a few seconds, Laurence, I come from seed companies, and the beauty of this business, this royalty business, is that the inventory build is done by your partners, by the seed companies, and not by Cibus, Inc. And I love that piece. So that working capital requirement is not with us. It's with them.
Laurence Alexander: Okay. Great. Okay. Thank you very much.
Peter Beetham: Thanks, Laurence.
Operator: We'll move next to Austin Moeller with Canaccord. Your line is open.
Austin Moeller: Hi. Good afternoon. What do you expect to see during fourth mode of action field trials in canola in the second quarter? And what would be a favorable result in your view?
Peter Beetham: So thanks, Austin. Of course, I'm gonna let Greg answer this one. Thank you.
Greg Gocal: Yeah. Thanks, Austin, and good afternoon. Our approach with sclerotinia resistance, specifically with multiple modes of action, is to address multiple ways that the pathogen is interacting with the plant. And so the fourth mode of action specifically addresses one of the ways that the pathogen interacts with the plant. And our expectation is one that the field trials' success in the field trials demonstrates that control material is infected by the pathogen and that the edited material is more resistant than what we see in that control material. That would lead us then to going the next step in terms of combining that mode of action with other modes of action that are showing similar efficacy. At this point, what we've discussed for mode of action two but also encouraging results that we've seen in controlled environments for mode of action three already.
Austin Moeller: Okay. And just to follow-up, on the sustainable ingredients opportunity with the large goods customer, are you able to indicate whether you expect the revenues to start from that either in 2025 or 2026, or has that changed from what you had said the prior quarter?
Peter Beetham: Thanks, Austin. No, we continue to see median milestones. The scale-up went well on the sustainable agreements with the bio-based fermentation fragrance. And we do see things on track for 2025 later this year, nominally. And then orders in Q4, so heading into 2026. So we're still on track on that. In fact, everything has gone very well in that process. I think, you know, what's exciting about this area is that, you know, I can't not stress the framework around where we're working in the area of gene editing right now because of the regulatory framework and people recognizing products from that seen so favorably. You know, sustainable ingredients, you know, our other activity is in crop-based products in sustainable ingredients. And that is a huge opportunity for us. And it continues to grow. We continue to get a lot of interest, inbound interest from companies. And this goes back to some of my earlier comments and the fact that we're being able to develop systems for editing in crops like rice and canola. And, you know, when we're bringing soybean on stream, there's time-bound and predictable. You know, it really has triggered a lot of interest because being able to return edited plants back to prospective customers within twelve months really changes the whole paradigm of what you do and how you integrate that into plant breeding programs. So, you know, when you think about some novel sustainable ingredients, our productivity traits that we're developing with the herbicide tolerance, as well as our disease work, you know, you can see we've made a lot of progress very quickly with our canola work in the mode of actions that Greg just explained with regards to disease resistance. So, you know, I've expanded a little bit there to give you a good idea of why sustainable ingredients we see as a big part of our future business.
Austin Moeller: Excellent. Thanks for the deep dive there. I appreciate it.
Operator: We'll take our next question from Sameer Joshi with H. C. Wainwright. Your line is open.
Sameer Joshi: Hey. Good afternoon, guys. Thanks for taking my questions. Just some of the questions from the same topic that have been discussed by other callers. On the sustainable ingredients space, is there, apart from customer testing, is there any other regulatory or other kind of testing that is required before you can start selling, or it's just because the molecules are the same? The customer is the only one who is going to test it.
Peter Beetham: So thanks for the question, Sameer. What we've been able to do over the last, you know, couple of years is really work pretty closely with prospective partners. And so they understand the active ingredient of the product already. Now what we've been excited by is the ability to scale quickly and maintain that quality. And so, to answer specifically to your question, over the next, you know, few months, that will be tested within, you know, the hands of customers, and they will look to see where the demand is. We know primarily that there is great demand, and then the supply of managing that. And I think the exciting part about this for us at Cibus, Inc. is, you know, we are a royalty-based company. With regards to the business model, this does fit with the same business model but does diversify things because this allows us to get some development programs to expand in this area. And, you know, what we've been able to do is work on a fermentation product that is scalable but is also easy to work through other opportunities. So we've started with two, there are, you know, over a dozen more opportunities in this space. And so, you know, diversifying our, you know, both with development programs and royalties allows us to sort of really broaden our portfolio.
Sameer Joshi: Understood. On the European front, once the trialogue is done and all the regulations are in place, do you anticipate repeating any of the trials for that region? Or they will be for, of course, some of the different crops there. But just wanted to see if the same crops are to be used on or same traits are to be used on the same crops. You can just transfer the US tests onto there.
Peter Beetham: So, Sameer, it's a really good question. We've shared before, we've been running trials in the UK already. The one thing that is hot off the press just yesterday was that the UK actually passed their secondary legislation. So that'll make our trialing easier because we'll be putting in applications to broaden that later this year. The beauty of doing it in the UK is that we can use trialing, and this will be our second year trialing in the UK, with materials that are adapted for the European market conditions but also the environmental conditions. So, yeah, we've already sort of got a leapfrog on that with regards to a couple of years in the UK. And this is fairly standard. A lot of seed companies based in Europe often use the UK as a site for trialing. We believe, you know, that based on the EU's decision now, that we could also start trialing next year in the EU. There have been trials already in Italy with rice that's been edited. So we're moving pretty quickly in that area as well.
Sameer Joshi: Sounds good. It looks like you have already sort of a little bit of a head start there. That's good to know. On the cost reduction front, I know the, like, the R&D costs have been reduced a bit, and apart from this one-time cost, your costs are expected to be lower this year. What kind of run rate are you expecting for the rest of the three quarters in terms of cash burn?
Peter Beetham: So let me start out. Thanks, Sameer, because it's an important question. We are always working on making sure that we resource the right programs and look at our cost reductions. You know, I think we've done well over the last couple of years where we've, you know, essentially just in last October, we've reduced it by 20%. We'd like to further that. We're seeing synergies within our organization and some consolidation of facilities activity, and I think that is going to help in the future. But that's something we're very much focused on, and I'll let Carlo expand on that.
Carlo Broos: Yeah. To be specific on the burn for this year, so I always like to talk about the net burn. So, and what you see in quarter one is what you can almost project later in the year. So there, we talk about a net burn of around $4 million. And opportunities to reduce that would sit in increased partner success, but that's where we are today.
Sameer Joshi: Understood. Thanks for that color. Thanks for taking my questions.
Operator: We'll take our last from Matthew Venezia with AGP. Your line is open.
Matthew Venezia: Hey, guys. Thanks for taking my questions. So to get into the regulatory approvals a little bit, you had the one come in from Ecuador. I was wondering if there are other Latin American countries that are rice producers. Do they have similar regulatory frameworks to Ecuador where it's kind of like an MI regulated situation, and then I have a couple more on top of that.
Peter Beetham: That's a great question, Matt. So thank you. You know, Ecuador is specifically a country that had, you know, said they do not accept, strictly prohibits was the words, for transgenic or GMO crops. So for us, it was one of the important Latin American countries to make sure that they understood what our products were and that they would be accepted as gene-edited and or as conventional breeding. A lot of the other Latin American countries actually have looked to Ecuador as sort of a lightning rod for understanding the best way to go forward. I think, you know, that has clearly opened up a really positive approach to the regulatory. And, you know, many of the other countries have already gone down that path. So Ecuador is the one that we wanted to make sure was clear.
Greg Gocal: Yeah. And just to add to that, Matthew, so you have a number of other countries in South America who already look at gene-edited products as conventional breeding. So as for our canola business, for instance, we've been producing seed in the off-season in Chile. But you also have sort of the same sort of confirmation in countries like Colombia, Brazil, and others.
Matthew Venezia: Got it. Thank you. And then, in terms of your rice products, I just wanted to ask if there's existing use of clethodim by rice farmers in the Latin American geography or if it's kind of gonna be like a de novo launch of the herbicide tolerance trait with herbicide to farmers.
Greg Gocal: Yeah. Excellent question, Matthew. So for tolerance to clethodim, clethodim is an approved herbicide in South America. And this trait enables resistance to that herbicide. And clethodim is a grass herbicide, and the biggest challenges for rice growers are red rice or weedy rice that's very related to the regular conventional rice, but also other grass weeds that are challenging, especially in South America where you're in a very tropical environment.
Matthew Venezia: Gotcha. So it's an approved herbicide. And is there, like, usage data right now for, I guess, or, like, maybe sales data that Alba has of how well clethodim does in the market currently?
Peter Beetham: Let me jump in there too, and then let Greg expand. But I think, you know, clethodim on unedited rice will kill it. So it's used in other crops right now. And, you know, over they have done a number of registrations in other geographies. But I think where the Latin American partners, we will be working with them going through the variety registration as well as the chemical registrations over the next twelve months.
Greg Gocal: And, Matthew, just to add a little bit, so as Peter said, you're using clethodim to manage grass weeds, not in rice today, but with the trait that we're moving forward, that provides a tool for rice farmers to use in the South American markets and globally, in fact.
Matthew Venezia: Got it. Alright. Thank you guys for taking my questions.
Peter Beetham: My pleasure.
Operator: This does conclude the Q&A portion of today's call. I'd now like to turn it back to management for any additional or closing remarks.
Peter Beetham: So thank you, everybody, for today. I want to just stress that we do see this as an inflection point for the company. So many things have been moving in the right direction for us as a company on both the ability to provide edited products back to customers in a time-bound and predictable way. We also have that in the understanding that the regulatory agencies around the world are recognizing what we do and the outcomes of what we have from our procedures are seen as indistinguishable from what occurs in nature and intersect with plant breeding programs with the seed company partners that we've been working with for a number of years. So, you know, with those two key items, you know, we're very proud to present, you know, opportunities in this marketplace. And as I said before, I think this whole industry is really recognizing the power of gene editing. And so providing traits that allow you as a farmer to be more productive, you know, on every acre to use less inputs, less chemistry, is really good for the environment and for the impact on climate, but it's also, most importantly, for the farmer, allows them to be more profitable. And at this stage and time, I think it's really important that farmers can access seeds that we provide through our partners to be more profitable. So the other last thing I'd like to say, in closing, is also just how proud I am of the team. Now we're very fortunate at Cibus, Inc. We have a team that has been together for many years. So many of us have been involved in building to where we are today. I couldn't be prouder of working for and presenting this on behalf of that team. So thank you very much.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful evening.